Operator: Welcome to FreightCar America's Second Quarter 2024 Earnings Conference Call. At this time all participants are in listen-only mode. [Operator Instructions] Please note that this conference is being recorded. An audio replay of the conference call will be available on the company's website within a few hours after this call. I would now like to turn the call over to Chris O'Dea with Riveron Investor Relations.
Chris O’Dea: Thank you, and welcome. Joining me today are Nick Randall, President and Chief Executive Officer; Mike Riordan, Chief Financial Officer; and Matt Tonn, Chief Commercial Officer. I'd like to remind everyone that statements made during the conference call relating to the company's expected future performance, future business prospects or future events or plans may include forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Participants are directed to FreightCar America's Form 10-K for a description of certain business risks, some of which may be outside of control of the company and may cause actual results to materially differ from those expressed in the forward-looking statements. We expressly disclaim any duty to provide updates to our forward-looking statements, whether as a result of new information, future events or otherwise. During today's call, there will also be a discussion of some items that do not conform to U.S. generally accepted accounting principles, or GAAP. Reconciliations of these non-GAAP measures to their most directly comparable GAAP measures are included in the earnings release issued yesterday afternoon. Our earnings release for the second quarter of 2024 is posted on the company's website at freightcaramerica.com, along with 8-K, which was filed yesterday after market. With that, let me now turn the call over to Nick for a few opening remarks.
Nick Randall: Thank you, Chris. Good morning, everyone, and thank you all for joining us today. As you may recall, over the past five years, we have undergone substantial transformative initiatives to diversify our product offering and deepen our existing customer relationships, all while strategically repositioning our operations at a significantly reduced cost base. Through the first half of the fiscal year, we are showcasing just that, as we reap the benefits from our comprehensive transformation. We are delivering world-class operations and commercial excellence as we meet the needs of our customers' requirements. Additionally, we are further developing our presence as a premier manufacturer of railcars, with a proven runway for growth as we continue to execute on our strong momentum. In terms of our second quarter results, revenues grew 66% over the prior year on deliveries of 1,159 railcars, and we achieved a record adjusted EBITDA of $12.1 million at our new facility. As a reminder, this comes off the heels of a strong first quarter in which we achieved a record 99% growth in revenue and 192% growth in adjusted EBITDA. Through the first half of the year, we have captured historically high levels of orders and inquiries as well as made advancements in expanding our market share in line with our ongoing commitment to driving profitable growth. Industry data confirms that we are growing our market presence in the railcar segments that we operate in, including covered hoppers, which represents the largest product segment of car types in the space. We have also made significant progress in broadening our product offerings with a major multiyear tank car conversion order, which is a vital component of our next phase of growth. Finally, we recently celebrated the milestone of shipping our 10,000th railcar out of our Castanos facility, a remarkable milestone that highlights our vision to be the premier manufacturer in the industry. As we have discussed before, rail equipment demand remains healthy, with stable industry dynamics providing confidence in our ability to capture consistent inquiries and orders within our target market. This spans across our diversified portfolio and flexible production lines that provide us with the ability to execute in any market environment. In terms of order activity for the quarter, we received net orders of 2,916 units valued at $285 million, the highest we have seen since the fourth quarter of 2014. With replacement rates projected to be close to 40,000 cars for the full year, as stable industry demand outlook gives us continued confidence in our business model and our ability to further grow our pipeline. I would like to now expand on an exciting update that I mentioned earlier regarding our product offerings. With our long legacy in the railcar conversion space and expanded manufacturing capabilities, we were able to secure a significant multiyear tank car conversion order. This expands our portfolio of offerings even further and establishes our footing within the tank car space. This multiyear contract is a significant stepping stone for us and aligned with our strategic vision to further elevate our market presence, meet our customers' needs and further optimize our production capacity for large-scale projects. The second quarter also marks the third consecutive quarter of shipping over 1,000 units from our Castanos facility. This demonstrates that the strategy and effectiveness of our operations are in full effect and provides confidence in our ability to realize our capacity thresholds to produce between 4,000 and 6,000 railcars per year. Looking ahead, we remain committed to sustaining this momentum by capturing quality orders with a sharp focus on maintaining our commercial discipline. This means delivering the best value proposition tailored to individual customer needs, providing exceptional attention and service, while striking the right balance of backlog, quality of earnings and order quantity. I would like to conclude my comments by touching on our outlook for the remainder of the year 2024. With this quarter's impressive performance and strong order momentum, we are confident in our market position through the back half of the year and are raising our guidance accordingly. We are raising our forecasted revenue to between $560 million and $600 million, up approximately 62% year-over-year at the midpoint of the range. This expectation is delivered -- based on expected deliveries, which we are also raising to between 4,300 to 4,700 railcars, an increase of approximately 48.9% at the midpoint of the range. We are also raising our forecasted adjusted EBITDA guidance to between $35 million and $39 million for the full year. This representing a year-over-year increase of 84.1% at the midpoint. Finally, we continue to expect positive operating cash flow for the third consecutive year. As we move forward, our focus remains on enhancing our robust product portfolio, gaining market share, both with new and existing customers, and in continuing to leverage our proven manufacturing platform to drive sustained growth. We are well positioned to benefit from the current industry trends and executing our strategic initiatives with precision. With the solid foundation we have built, I am confident in our ability to scale and seize new opportunities in the market. Our unwavering commitment to innovation, quality and customer satisfaction will guide us as we create value through continued growth. With that, I will next turn the call over to Matt to discuss the market and then to Mike for a more detail on our financial results.
Matthew Tonn: Thank you, Nick, and good morning, everyone. We continue to see improved rail service metrics, contributing to an overall healthy industry environment in the second quarter. As Nick mentioned earlier, we are aligned with the industry's forecast of railcar deliveries to be in the range of 40,000 to 42,000 railcars in 2024. Overall, we see a continuation of demand closely tied to replacements and in the range of 40,000 railcars annually for the foreseeable future. For the second quarter 2024, we closed net orders for 2,916 railcars valued at approximately $285 million. The first half of the year has shown robust activity as we experienced the highest level of orders since our transformation in Mexico, along with substantial growth in both our backlog and shipments. As expected, for many freight segments, customers are still taking longer to fully analyze the timing of their new railcar purchases. But overall, we are seeing consistent inquiries as a result of our flexible commercialization strategy. With the strong momentum in the first half of the year, our production line is essentially sold out, and we are positioned well to close out the remainder of the fiscal year within our expected range. Additionally, our portfolio remains a healthy mix of car types ensuring we meet diverse customer needs. We ended the second quarter with a backlog of 3,833 railcars valued at approximately $382 million, representing the second highest level we have seen since 2016. Within our North American addressable market of existing car types, we have realized market share gains during the quarter for orders across gondolas, flat cars and open-top hoppers. These car types serve a diversified customer base, are regularly in demand and critical to industrial and agricultural market segments of our economy. Our improved market share is a testament to our team executing the commercial strategy, focused on delivering value in every step of the process. In addition to maintaining strong momentum within our existing car types, as part of our plans to grow our product portfolio, we have recently secured a significant multiyear deal to convert over 1,000 existing DOT-111 tank cars to the federally mandated DOT-117R tank cars over a two-year period. Railcar conversions have been core to our business over our storied history, including the delivery of over 15,000 conversions and rebodied railcars. This new agreement showcases one of our key competencies, while also expanding our capability as a reliable partner within the tank car market segment. Our Castanos facility is equipped to handle large sale conversion projects efficiently and our historical presence and expertise in railcar modifications were among the primary factors that helped us secure this win. By entering into the tank car space, we are not only expanding our addressable market and customer base, but demonstrating our ability to deliver tank car upgrades, engineered for optimal safety and performance. I am pleased by our demonstrated capabilities to operate at higher capacity levels and meet customer demands. Our facility was purpose-built to maintain the agility needed to meet customer requirements, and we are executing on these priorities, while our sales team focuses on growing our pipeline to meet our expanded capacity for various car types. I'll now turn the call over to Mike for comments related to our financial performance. Mike?
Michael Riordan : Thanks, Matt, and good morning, everyone. I'll begin with an overview of the second quarter's financial results. We are extremely pleased with our second quarter results as we delivered year-over-year revenue growth, record quarterly profitability and record orders at our Mexico facility. Consolidated revenues for the second quarter of 2024 totaled $147.4 million, with deliveries of 1,159 railcars, compared to $88.6 million on deliveries of 760 railcars in the second quarter of 2023. Gross profit in the second quarter of 2024 was $18.4 million, with a gross margin of 12.5%, compared to gross profit of $13 million and gross margin of 14.6% in the second quarter of last year. Lower gross margin performance as compared to the prior year was primarily driven by the second quarter of 2024 delivering all new cars versus the prior year comparable period, including deliveries of car conversions. Additionally, we saw a sequential improvement of 550 basis points from the first quarter of 2024 as we saw a favorable mix in car types delivery, coupled with our fourth production line running at full capacity for the entire quarter. We expect our freight car gross margin will remain the industry-leading levels for the full year as we continue to realize the operational efficiencies of our facility running at full capacity. SG&A for the second quarter of 2024 totaled $8.5 million, up from $5.9 million in the second quarter of 2023, primarily due to the second quarter of last year having a favorable mark-to-market adjustment on certain stock-based compensation awards. Excluding stock-based compensation, SG&A as a percentage of revenue decreased to 150 basis points from the prior year as we continue to maintain disciplined SG&A spend. As a result of the business model we designed, this creates significant operating leverage to our bottom line as our production output reaches full capacity. In the second quarter of 2024, we achieved adjusted EBITDA of $12.1 million compared to $8 million in the second quarter of 2023, primarily driven by increased railcar deliveries between the comparable periods. For the second quarter of 2024, our adjusted net income was $6.3 million or $0.05 per diluted share compared to adjusted net income of $2.1 million or $0.02 per share in the second quarter of last year. Adjusted net income accounts for the impact of certain non-cash items and non-recurring items such as the change in fair market value of our warrant liability and a favorable nonrecurring cash item during the second quarter of this year associated with the litigation settlement related to our former lease fleet. Capital expenditures for the second quarter of 2024 were approximately $1.3 million, and our full year forecast of capital spend remains unchanged at $5 million to $7 million. Finally, I'm pleased to report the progress on one of our primary strategic objectives: strengthening our cash flow generation capabilities, which we have made remarkable progress on during the quarter. We currently hold $39.4 million in cash, no outstanding borrowings on our revolving credit facility and generate robust operating cash flow. The working capital headwinds we incurred in the fourth quarter of last year fully resolved themselves in the first quarter, resulting in the normalization of our working capital and the generation of $31.9 million in operating cash flow during the first half of 2024. With our balance sheet in a healthy position and the continued execution on commercial and operational excellence initiatives, our business is poised to efficiently service the debt we incurred to support our transformation and ultimately, positions us favorably for continued growth and value creation for our shareholders. With that financial overview, I'd like to now open the line for Q&A.
Operator: [Operator Instructions] And our first question from the line of Mark Reichman with Noble Capital Markets. Please proceed with your question.
Mark Reichman: Yes. So I was curious, when will your inventory numbers begin to reflect the tank car conversion order that's reflected in the backlog? Or maybe ask another way, when will the revenue get recognized from the order?
Matthew Tonn: From the inventory perspective, Mike, I'll let you address that. But on the timing of the order is really tied to our customers' demand. They're looking for delivery of the cars to be completed by the 2029-time frame, which is the mandate -- the federally mandated time frame, we look to start that program up substantially in 2026. Mike, do you want to set a piece?
Michael Riordan: Yes. So 2026. And as we noted, it's a two-year program. So you'd be modeling that '26 and '27. So you won't see any inventory build in the near term. You won't really see anything of that nature until very early '26.
Mark Reichman: And then could you just elaborate on the path towards producing new tank cars? I mean do you think you would be ready by 2028?
Matthew Tonn: Well, let me answer that in 2 two steps. One is the market for tank cars is around about 8,000 units a year. We have design approval for -- covers about half of that, it's about 4,000 of the 8,000 addressable market. So we are approved to take receive orders at any time a customer wishes to place them. There's a period of work to be done to configure the plant for it, but that can be aligned with when customers want to place them. But we would expect that simply due to the conversion work in 2026. And then in parallel, be prepared to take on new tank cars after that period.
Mark Reichman: Okay. And then my final question is, Michael, are you able to provide any details on plans to recapitalize the balance sheet?
Michael Riordan: Yes. So I'll say that, that is still one of our primary strategic objectives for this year is to complete that this year, which will be very beneficial to our free cash flow generation going forward.
Mark Reichman: Thank you very much.
Operator: [Operator Instructions] At this time, this concludes our question-and-answer session. This also concludes today's conference. Thank you for your participation. You may now disconnect your lines at this time, and have a great day.